Operator: Thank you for standing by. This is the conference operator. Welcome to the Sangoma Investor’s Conference Call. [Operator Instructions] This conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Samantha Reburn, Chief Legal Officer. Please go Ms. Reburn.
Samantha Reburn: Thank you, Operator. Hello, everyone, and welcome to Sangoma's Second Quarter Fiscal Year 2025 Investor Call. We are recording the call, and we will make it available on our website for anyone who is unable to join us live. I'm here today with Charles Salameh, Sangoma's Chief Executive Officer, Jeremy Wubs, Chief Operating and Marketing Officer, and Larry Stock, Chief Financial Officer. Charles will provide a high-level overview of the quarter. Jeremy and Larry will then take you through the operating results for the second quarter of fiscal year 2025 which ended on December 31, 2025. Following their presentation, we will open up the floor for Q&A with the analysts. We will discuss the press release that was distributed earlier today, together with the company's financial statements and MD&A, which are available on SEDAR+, EDGAR, and our website. As a reminder, Sangoma reports under International Financial Reporting Standards, IFRS. And during the call, we may refer to terms such as adjusted EBITDA, which is a non-IFRS measure that is defined in our MD&A. Before we start, I'd like to remind you that the statements made during the course of this call that are not purely historical are forward-looking statements regarding the company or management's intentions, estimates, plans, expectations, and strategies for the future. Because such statements deal with future events, they are subject to various risks and uncertainties, and actual results may differ materially from those projected in the forward-looking statements. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in the accompanying MD&A, our annual information form and the company's annual audited financial statements posted on SEDAR+, EDGAR and our website. With that, I'll hand the call over to Charles.
Charles Salameh: Thanks, Sam. We appreciate you guys taking the time to join us today and for your continued interest in and support of Sangoma. But I'm pleased to share our Q2 FY 2025 performance. Our focus remains unwavering, and we're fully committed to driving sustainable, profitable growth and delivering long-term value to our shareholders, clients and our partners. It's been 14 months since we began this transformational journey, and I'm proud of the tremendous effort and the results the team has achieved during this time. Now this journey has deepened our understanding of the viability and profitability of our various product lines, particularly in Q2. This knowledge has enabled us to refine our strategies, prioritize our investments that are aligned with our core business and our growth objectives, while increasing profitability and free cash flow. Our vision has always been to position Sangoma as a highly innovative communications platform company, delivering high margin recurring revenue streams. This quarter, with our financial position strengthening faster than anticipated, as Larry will describe, we are accelerating our efforts to build on this foundation. Our FY 2025 priorities have shifted accordingly, reflecting a stronger focus on core business alignment and long-term growth investments. Since launching our go to market transformation in May of 2024, our efforts were weighted heavily towards transactional non-recurring product revenue to drive customer acquisitions and to create the cross sell and up sell opportunities. Simultaneously, we have been building momentum in larger, more profitable recurring revenue deals, which tend to have longer sales cycles, while also refining our partner ecosystem to support these long-term goals. We have leading indicators that Jeremy will discuss later on that support the MRR momentum and strategy, albeit it is taking a little longer than anticipated. One area of our business that is under review is our third-party hardware resell business. While not core to our long-term strategy, it provided an opportunity to expand our client base, particularly in the federal government sector and provide some improved top line growth. Entering fiscal 2025, we had expected to leverage the award of a GSA Certificate, which essentially allows companies to sell products and services to the U.S. Federal government to establish the groundwork for future recurring revenue streams within the U.S. Federal government. However, recent shifts in government spending and administrative processes have created a lot of uncertainty in this segment, not just for us, but for many other industry players that serve this market. For example, a nearly $1 million U.S. Federal government opportunity, which we were well positioned to secure, was placed on hold in December of 2024. This uncertainty was reinforced with further executive orders by the new administration to freeze all government hires, sending a clear signal that the spending patterns had dramatically changed. In Q2, in this area of our business, it declined by $1.2 million compared to Q1, exclusive of the $361,000 that rolled over from the previous quarter. While the remainder of our business was beginning to show signs of sequential quarter over quarter growth, we now see limited potential for the third-party hardware resale segment to contribute meaningfully to our FY 2025 growth objectives. Rather than pursuing lower margin hardware sales to offset this decline, which we could have, we chose to realign our efforts and more importantly, our SG&A investments towards high value opportunities within our core business. By prioritizing emerging mid-market opportunities and high margin recurring revenue streams, we are positioning Sangoma for long-term success along with the core strategies we have discussed previously. Building on the momentum from Q1, we continue to make meaningful progress into Q2 across key go to market initiatives. These efforts, which include expanding accounts, securing new logos, closing larger strategic deals, are driving measurable results and reinforcing our commitment to long-term growth. This quarter, we further increased our investment in CRM and ERP systems, process automation and competency rescaling, all of which are nearing completion and already delivering clear benefits. Operational efficiency has improved significantly with strong cash conversions, cash from operations, while client satisfaction and NPS scores have reached new record highs. Additionally, churn rates have seen a remarkable improvement dropping back to below 0.95%, a significant improvement from our 1.1 a quarter ago and back in line with historical averages. This not only reflects the growing strength of our client relationships but also validates the focus of our transformational efforts towards securing long-term recurring revenue streams. We've also reached key financial milestones well ahead of schedule, successfully achieving our fiscal year end debt target of $55 million to $60 million. This enhanced financial flexibility enables us to take bold strategic actions, expediting the divestiture of non-core assets, while efficiently allocating capital to continue bringing down our debt. These processes are already in motion, and we are excited to move forward. As we discussed in previous calls, the divestment of non-core assets should have a significant positive impact on our profitability, enhancing both gross margin and EBITDA margin, while creating new opportunities for innovation through both build and buy strategies. As a result, we are making the deliberate decision to adjust our year end revenue guidance to reflect the strategic shift away from transactional lower margin third-party hardware resale and an acceleration of our investment in our core business and strengthening the profitability of Sangoma. This move aligns with our long-term focus on investing in high margin recurring revenue opportunities and optimizing the quality of our revenue streams. While this adjustment impacts top line revenue expectations, our overall profitability outlook remains unchanged, and all other metrics remain at or ahead of plan. These actions underscore our focus and unwavering commitment to driving sustainable, profitable growth. Before handing it over to Jeremy, I want to reiterate our strategic priorities as we continue to evolve the business and align with our long-term goals. First, expanding our portfolio through acquisitions and potential divestitures, which are already underway and aligned to our core platform. Second, driving organic growth within our existing partner ecosystems and new partners. Third, prioritizing high margin recurring revenue solutions in key verticals, such as health care, education, distributed enterprise. Fourth, optimizing operations to deliver record efficiency and client satisfaction. Five, maintaining disciplined financial management to navigate the macroeconomic and political uncertainties, while ensuring flexibility for future opportunities. By staying focused on these priorities, we are confident in our ability to drive and deliver greater value to our stakeholders and position Sangoma for its next phase of growth and value creation. Now I'll hand over to Jeremy to discuss the quarter in far more detail. Jeremy?
Jeremy Wubs: Thank you, Charles. I'm happy to share today's update on our operational progress. We continue to see positive trends in our KPIs across our core product categories. And this gives us confidence that the underlying growth engine is building in the right strategic areas. When Charles and I joined in late 2023, Sangoma was a company that had grown through 11 acquisitions. We knew we needed to build a scalable foundation, focusing on our MRR services to drive profitable growth. It took us time to evaluate and restructure how each of the product lines fits within our ecosystem. We mapped out product roadmaps and assess the viability and profitability of each. The 11 product lines were consolidated into six main lines, two of which make up our core essential communications platforms and two that are value added pieces that support our strategy. The remaining two lines serve complementary customers, but we consider them peripheral to our long-term plans and business model. Our highest margin revenue comes from our MRR driven communications platforms, including UCaaS, CCaaS and CPaaS technologies that we deliver through hybrid and cloud solutions. We are focusing our investments here and continue to innovate through new AI powered services that target industry verticals like enhanced conversational, interactional voice response for the restaurant industry and patient relationship management systems for healthcare. In Q2, we continue to make steady progress on the key performance indicators discussed last quarter, showing our growing traction within the mid-market enterprise. Our large deal pipeline, we saw 6% increase in the number of deals with over $10,000 MRR created in Q2 versus Q1. Improving mix, 75% of the $10,000 deals were UCaaS versus 60% in Q1 and 55% in Q4. Normalized churn, as Charles pointed out, our churn rate has returned to historically low levels below 0.95%. And our revenue split, 83 of our revenues are from business services and 17% from product sales. And finally, our NPS scores, our net promoter scores are up 150%, the quarterly average net promoter since we started to measure this in Q4 FY 2024. The second piece of our MRR offerings is our infrastructure platforms, which includes services like SIP trunking. Two years ago, this area was underinvested and stagnant, but we've since revitalized it. Our infrastructure platform is a high margin business for us and revenue has grown by more than 10% in the first half of fiscal 2025 over the prior year. Our recurring business areas are now seeing momentum with larger, more sophisticated opportunities. And this gives us confidence that our strategy is working, but the growth takes longer as these MRR deals have longer sales cycles of up to 6 to 12 months. Now additionally, we have two value added pieces to our portfolio that provide higher margin MRR while complementing our platform strategy. One is Open Source solutions. We are proud of our role as the primary developer and sponsor of the Asterix platform and FreePBX project, the world's most widely used Open Source communication software. We provide on prem and cloud solutions to support these large communities, and we focused on modernizing this business with new cloud ready software releases and modern new SKS features like transcription. Second is Sangomas hardware with premise PBX and analog VoIP gateways. Developed in house, this is a high margin product revenue that supports our end-to-end solution strategy, which is a really important value add for customers in key sectors like healthcare, hospitality and education. Together, these four product lines are our highest margin generating assets, forming both the core and value-added communications platform solutions. The remaining segments are access and managed services and our third-party product resell. One provides MRR, the other provides NRR, which we consider preferable to our long-term strategy and business model. As Charles mentioned earlier, our ongoing system upgrades are on track for April and we will enable unified quoting, cross selling and billing through our new ERP system. With this strong foundation in place, we are in a much better position to scale. I hope this provides more context about our strategic decisions, the foundation we have built, where we are seeing progress and why we remain confident we are on the right path. With that, I'll now turn it over to Larry to provide an update on the financial results for the quarter. Larry, over to you.
Larry Stock: Thank you, Jeremy, and welcome, everyone. We appreciate you joining us for today's call. Last quarter, I discussed some of the key metrics that I monitor to track our financial health and drive our strategic execution. These include metrics such as net cash provided by operating activities, working capital and cash conversion, net debt, revenue, consistent gross profit and gross profit margin and adjusted EBITDA dollars and percentage. In Q2, we tracked to or ahead of our plan across nearly all metrics, despite the challenges in our third-party resale business that Charles mentioned earlier. Cash performance remained a key highlight during the second quarter. We generated $11.9 million in net cash from operating activities, a 30% increase over the prior year period. Fiscal year to date, net cash from operating activities reached $24 million representing a 41% increase over the prior year. Our cash conversion from EBITDA once again exceeded 100% due to the effective working capital management. We converted 118% of our adjusted EBITDA in Q2 into cash flow, up from 88% conversion in the same period last year. In Q2, we generated an additional $1.1 million in net positive changes to working capital, building upon the $3 million generated in the first quarter. This was driven by positive $2.3 million from collected trade and other receivables, plus $0.7 million from inventory. Thanks to our strong cash flow generation, we have continued on our accelerated debt reduction schedule, retiring another $8.7 million in total debt during the second quarter. This enabled us to effectively reach our target debt position of $55 million to $60 million two quarters ahead of schedule. By the end of the second quarter, our net debt decreased to $43.3 million from $52.4 million at the end of the first quarter, resulting in a trailing 12-month net debt to adjusted EBITDA ratio of about 1.03x from 1.23x in the first quarter. We will continue on our cash allocation methodology of paying down debt. By reducing net debt alone, we are creating value for our equity holders. It also allows us to move into the next phase of our transformation. We can now speed up our exit from non-core activities and concentrate our investments on our more profitable monthly recurring revenue platforms. Furthermore, our strong cash flow and debt capacity should allow us to increase growth and scale through acquisitions. Moving on to the P&L. Revenue for the second quarter of fiscal 2025 was $59.1 million representing a decline of $1 million from the first quarter. The sequential decline resulted from a $1.2 million decrease in third party product resales, while the remainder of our business grew sequentially quarter over quarter. Gross profit was $40.5 million We maintained gross margin at 68% of revenue, the same level as the first quarter, by not pursuing low margin revenue at the expense of profitability. Similarly, compared to the first quarter, adjusted EBITDA improved by 3% to $10.1 million while adjusted EBITDA margin improved from 16% to 17% of revenue despite the decline in top line. Our decision to accelerate strategic alternatives has led to our changes regarding guidance. We are advancing our core platform strategy through a focused strategic realignment that should strengthen our business fundamentals, delivering clear improvements in both gross profit margin and adjusted EBITDA margins over time despite lower projected revenue in fiscal '25. For fiscal '25, we are lowering our revenue guidance range to $235 million to $240 million from $250 million to $260 million while our adjusted EBITDA guidance range remains at 17% of revenue and is being revised to $40 million to $42 million from $42 million to $46 million. As you can see from these numbers, the net effect of lower revenue for the second half of the fiscal year has had a relatively small impact on adjusted EBITDA, and adjusted EBITDA margin is expected to improve. We firmly believe that these are the correct actions to accelerate our path towards our next phase of growth and value creation. Looking ahead, as we focus on core assets, we expect to shift towards a model with 85% plus recurring revenue, gross margins near 80% and adjusted EBITDA margins approaching 20%. As always, we thank the men and women of Sangoma around the world whose hard work and dedication shows up every single day. That concludes our prepared remarks. Operator, let's open up the call for some Q&A.
Operator: [Operator Instructions]. First question comes from Gavin Fairweather with Cormark. Please go ahead.
Gavin Fairweather: Hey, good afternoon.
Charles Salameh: Hey, Gavin.
Gavin Fairweather: I wanted to start out on your partner program and the launch of the new Pinnacle Partner Program. I think that was officially launched in November. Maybe you can just discuss how you've designed that program to ultimately drive more sales into you and then also what you're hearing in terms of feedback and what you're seeing on acceptance of that new program in your partner network?
Jeremy Wubs: That's a great question, Gavin. I mean, our partner show program is really about building intimacy and trust with our key partners, right? We've got partner tiers and programs. And obviously, we want our partners at the top of that tier, which means close, intimate relationships, which means us bringing them leads, them bringing us leads and building really a sustainable, repeatable sort of committed program with them, wrapping extra marketing support, driving customer events. And I'd say we're seeing really good success with those partners. A lot of it is focused, probably not surprisingly, around some of our UCaaS assets or CX assets, those high margin product lines that are important to us. Our goal is to move our partners up those tiers, right, to get them to do more business with them to benefit from incremental discounts and margin and marketing investments that help them to be excited about bringing us new business. So we've seen good momentum with it. We're excited about it. It's still early days, but it's really helping to build that pipeline.
Charles Salameh: Yes. I'll just add a couple of comments to that. Gavin, the whole idea of partner the partner program, I mean, the title is Pinnacle. You can name anything you want. But the idea is really about partner segmentation. And as we get into more of these solutions that have a lot of generic natures to them, a lot of these customers' partners have been selling components as we get into more bundles. These partners are looking for ways to penetrate value through these bundles. And the Pinnacle program allows our partners to work with us, in some cases, at the top of the Pinnacle program, codeveloping opportunities within very specific segments and industry verticals that we could penetrate and go deeply with. For that, we're getting some very strong support. We've got partners who have lined up. We've got specialties in areas like hospitality or MDUs, health care, education, who really want to work with us to develop solutions with our portfolio and what they bring to the table to codevelop solutions for their end customers, which create higher MRRs for them, higher commissions for them, higher commissions for us or MRR for us. And they're really seeing this as a proactive attempt to try and go after very specific industry verticals using their expertise within these verticals. And the program just allows them to specialize in these areas and allows us to go deeper in the industry vertical segments, which is where I think all the value lies, is turning this technology into contextually meaningful solutions for these industry verticals and spoken in a language they can understand. And these partners are no longer seeing us as another generic flavor of UCaaS or CPaaS or what have you. The program allows them to specialize within very specific industry verticals.
Gavin Fairweather: That's very helpful. And next for me, on the services line, you referenced a drop in churn, but we did see a bit of a decline sequentially this quarter. So maybe you can help me reconcile those statements. Curious if the dip was tied to maybe some earlier churn and stability has improved?
Charles Salameh: Well, look, in my statements and basically what's been going on, we are, I think, about two or three quarters ahead in our financial strength of the company. Therefore, two, three quarters ahead in our inorganic growth. And if you go back to my Q1 or Q4, I told you we're going to grow the company three ways, inorganically, organically and through geographic expansion. I think we're about two or three quarters behind in some of the organic activities in terms of getting that stimulated. We're seeing great KPIs. We believe that segment is going to come back. The organic growth is going to begin to produce results. And so what we've done is we decided, look, let's just double down on accelerating the organic growth, moving away from some of the lower margin transactional products that have sort of more immediate revenue. And as a result, you're going to see a little bit of a change in the way the financials have come out this quarter. But we think that this is an opportunity for us to, given our financial strength and the accelerated position of our balance sheet, to really accelerate the inorganic engine of the company and really sort of push on the core strategies where we're starting to see some momentum and we're also starting to see some demand. And to get that the inorganic element plays a very important role in accelerating that organic engine, and that's sort of how we sort of decided to make that decision in this quarter.
Jeremy Wubs: Last quarter, Gavin, we saw an increase sort of quarter over quarter in our larger deal pipeline. I talked about that on last quarter's call. Same thing kind of through this quarter, 6% increase, I mentioned earlier, in large deals. The challenge, as Charles mentioned, the sales cycles are long, right? So six, twelve months before we start to see that pick up. So what you're seeing is we've got a little bit of time still because of the sales cycle and even implementation cycle before we start to see that kind of sell through and push the services line up.
Gavin Fairweather: That's helpful color. And then on the premise PBX business, are you what are you seeing after the NEC kind of announcement that they're exiting the business? Are you seeing additional partners coming to Sangoma? Any share gains in that space? What are you seeing on that side?
Jeremy Wubs: We're seeing partners come to Sangoma. It takes a little bit of while to kind of get certified and trained in our platform, getting used to it. We're seeing more quotes that's similar, like we're seeing the quote and the activity. We're starting to see a little bit of those results flow through. So it just takes a little bit of time for those partners to get comfortable with the new platform, get trained, get certified and kind of get out of the selling. And we think we'll see similar things. We think there's some other partners or other technology vendors similar to NEC who will be sort of backing out of the market a little bit and we see more opportunity there coming.
Charles Salameh: Yes. I'll just reinforce that. We've had a couple of partners. We're going to announce these by the way as we kind of move through the quarter who are again -- I'm going back to this theme of this industry focus. We've got these partners who are really coming to us looking for specialization within particular NEC verticals to create solutions that are meaningful to those particular industries. And some of these partners now are hearing our story of trying to take our Essential Communications platform and bringing it to a particular vertical. And these partners are coming forward, particularly in education. We have a partner now who wants to do some work with us on the prem side, who has lost their NEC partner. Who's looking to really look at the school boards on the East Coast of the United States. And so they're getting wind of what we're doing in the prem business. We're also seeing that in the MDU and hospitality partners who are very specialized in hotels, condominiums, the things I've talked to you about before, Gavin, that are looking at our premise solution now and saying that's backfilling the NEC solution. So these engagements are beginning to flourish, as Jeremy said. By the time we get them sold, executed and converted into revenue, it will take a little bit more time over the next couple of quarters. But partners are coming forward with both the combination of an industry focus that we're placing and the fact that we have a replacement for what the market has been doing with traditional players in the prem markets with compared to what we have in Sangoma.
Gavin Fairweather: Helpful. And then maybe lastly are you anticipating any kind of impact to working capital where we notice it at all in the financials? And maybe if you could discuss kind of how we should think about the onetime expenses trailing off?
Larry Stock: Sure, Kevin. Good question. So we're tracking to what we've said throughout the year at about $2.1 million in total ERP costs. You're seeing that in the adjusted EBITDA number. We're not excluding it when we talk about it. We're tracking to that. We're on track for an April go live. We will certainly see some efficiencies for that. We've not yet modeled all of that out completely. So I won't talk about it in any more detail right now. But we'll certainly see efficiencies from both time and cost as we move that forward. But we are we're on track time wise and dollar wise, we're very happy about that.
Gavin Fairweather: Great. I'll pass on. Thank you.
Larry Stock: Thanks, Gavin.
Operator: The next question comes from David Kwan with TD Cowen. Please go ahead.
David Kwan: Hey, guys. Just want to get a better understanding of the decision on the low margin hardware resale. So I assume you're talking about VoIP supply. Are you looking to kind of wind it down or are you maybe looking to try to sell it? And what are the other low margin noncore product lines that you're looking to deemphasize?
Charles Salameh: So I guess I'll start in general. It's not just VoIP supply. We think there are several units this company came out of 11 acquisitions over seven years. I've been talking a lot about that. Over the course of the last 14 months, we brought those divisions together into really six lines of business that we're going to be talking a lot more about. And just through that, we've got to understand the various business model structures between NRR type businesses, MRR type businesses, the profit profiles of those, the revenue profiles of those and how they all fit into the core strategy. So this is not just about one division. This is about what I've been talking about for almost a year now is that at some point, as we get into the integration, we get to the core of the company, we understand where the sustainable long-term profitable growth is going to come from. We can make decisions about the divestiture and acquisition strategies that would sit on top of an integrated organization that has a full CRM and a full ERP. So the original plan was that we would use some of the short-term MRR business, particularly in the back of a GSA certification, which was an award that we were given to operate within the federal government of the United States to sell hardware because we had the capacity to do so. We had the division to do that. It was an established division. And obviously, after the elections, and certainly with the pause on a major deal that we've actually been suited to go and get, we decided to there's no purpose to go after this. The federal government is under a lot of uncertainty right now. I'm not betting on this side of the business. And the SG&A and the investments that I was going to put into this side of the business to go and actually capture that revenue because it doesn't come free, you've got to go and invest in it. We decided to pull back that incremental investment to go after this incremental NRR business and move it towards the core platform to accelerate our growth in the core area of the high margin business, which is what we did. And so that's sort of how we're looking at it. And now we're basically sustaining this business. We're not winding it down. We're just sustaining it. We're looking at options on what we can do with this business. But what I'm not doing is continuing to double down investment to go after lower margin revenue for the cost of just hitting top line revenue. If the federal government business was there and it was going to grow and it was something I could count on and I would have put the money into it, we would have got the top line revenue. We would have used that as a base to maybe upsell and cross sell. But given the uncertainty of the federal government business right now and you see it as much as I do, it's absolute chaos that's going on right now. Hard to make any decisions going forward. And given our accelerated financial strength, we said, well, let's just put our money towards the core business. We're seeing KPIs showing up there. We're seeing deal sizes getting bigger. We're seeing partners who are engaging, but we're seeing a much more profitability. In fact, we think we can take the company if we can get through all of this and really align the core business to a company that's generating 80% plus or more profit given where we are right now at 68%, 70%. So this is the right thing to do for the company. It does have an impact on top line revenue. And it's actually part of the plan, David, I've been talking about for some time. I think when I came and talked to you guys at TD Bank, I'd actually told you that I had a bunch of assets in my portfolio that I may or may not pull out and decide to sell. We have the option, given the strength of our balance sheet right now, to be able to make some of those plays earlier than we anticipated, and we're taking that bold option to do so.
Jeremy Wubs: I'd just add one quick comment, Dave, too. I mentioned it earlier. We have these six product lines. Two of them kind of fall into this category. What's good about it is we've already organized it and optimized it, right? So, it's efficient. It's a very well-run product line, all six of the ones that we have. So, they're attractive to lots of audiences in the industry. So, it's we're not at the beginning of the process. We haven't evaluated the 11 acquisitions, categorized them to 6. We've done the categorization. We've optimized. We've organized them. Now it's about being definitive on where we want to go next and how do we drive the most profit and benefit for our shareholders.
David Kwan: No, that makes sense, guys. I appreciate the color there. Obviously, a lot of talk about tariffs right now, even if they're put on hold at least for Canada in particular, for at least a month here. Can you talk about maybe what you guys are doing to mitigate the potential impact if the tariffs do get implemented or potentially increase?
Larry Stock: Sure. We believe that the impact of the proposed tariffs would be relatively immaterial. We don't we didn't see much impact from the Chinese tariffs in the past. And we do have sufficient inventory to support the current business for the next several quarters. And we also have so many options to ship manufacturing to optimize and reduce our exposure. We've got inventory already in the U.S. and many options to make sure that we can do that with minimal to no impact.
David Kwan: That's helpful. So are you guys looking to maybe try to accelerate getting more inventory into the U.S. While there's, I guess, less tariffs coming out of Asia in particular. And can you talk about where your contract manufacturers are based?
Larry Stock: So our contract manufacturers are based in several locations, some in China and some other locations, which are not subject to tariffs and we've not talked about and have not been talked about. So we don't believe there'll be any impact. We can move that manufacturing fairly quickly from that point of view. We're always looking at inventory. We have inventory sufficient inventory in the U.S. Currently that would satisfy what we plan to sell. So we don't expect to see any issues with that. As a point of reference, Vietnam is another facility for us other than China. So we thought about this in the past and really set it up. So we should be fine from that perspective.
David Kwan: That's great. One last question. Obviously, one way I think you can help mitigate that impact, of the tariffs is expanding geographically and you talked about it in the past as well as this call. So maybe can you talk about how that work has gone so far in terms of growing your business outside of the U.S. in particular, which is obviously the vast majority of business? And where you see international revenue potentially getting over the next, call it, three to five years?
Jeremy Wubs: Yes. We've seen a performance improvement in the international market. I mean, a number of those things have been focused on a little bit more on the hardware side of our business. Charles talked earlier around one of the other questions around NEC. Although they exited the market in the U.S., we've gone pretty aggressively after that business, not just in the U.S., but in other geos. And then some of the analog gateway business, some of the other things I mentioned earlier, those are areas that we've also seen growth. So we've had a stronger year-to-date in international than we have in the past. The kind of question remains, there's still a lot of opportunity, untapped opportunity in The U.S. So we're going to continue to put a lot of first power and pressure there, in particular, on some of the U.K. assets.
Charles Salameh: Yes. I'm just going to reinforce that with the more strategic side of things. Like while we're seeing increases in the international community, U.K., India, even into Asia Pac and Korea. The company has the -- surprise to me is the company has such geographic reach and we really haven't exploited it because we've been so busy inwardly focused on getting the company set up with the right ERP, getting the platforms consolidated, getting our CRM systems in place, getting operational improving our cash flows, reducing our debt, all of the necessary elements to get a company to get into a sustainable long term growth position with optionality. One of those options, as I've said clearly, is international channel geographic expansion. And the company is already well positioned. Jeremy has done a great job of building out these markets. But now the inorganic element that I told you we're going to now accelerate, given our strength of our financials, we'll consider geographic expansion as one of the elements for growth. And given what I'm seeing now in markets in Europe, particularly in the U.K., I think it's a market very favorable to the kind of solutions that we offer. We have the opportunity to start looking beyond our own borders. Even if there's uncertainty going on here in United States right now with the geopolitical situations, there are markets that Sangoma can access that we've really just discovered in the last, I would say, eight months. And really starting to see great progress given Jeremy's focus there in terms of its growth, quarter-over-quarter growth and the resulting impacts of that and the influence that has on our decision around how we execute some of our inorganic options.
David Kwan: That’s great. Thanks guys.
Operator: The next question comes from Mike Latimore with Northland Capital Markets. Please go ahead.
Mike Latimore: All right, great. Thank you. So you talked a little bit about de-emphasizing some of the transactional revenue and then the pipeline on larger deals is picking up nicely. I guess, when do you see that all kind of balancing out leading to sort of maybe stable sequential growth in services?
Charles Salameh: Look, as I said, I think we're -- like I said, two or three quarters ahead of plan on our inorganic strategy. I'll give my colleague here, Larry, some great credit for giving me the optionality that I asked for and giving it to me ahead of plan. And so I think we're two or three quarters behind on some of the inorganic and I think -- sorry, the organic. And I think, Mike, I would put that on a simple issue. We kind of bet on the NRR business because of the Federal Government opportunity that was in front of us. We put a bet on that as short-term recurring revenue -- sorry, short-term transactional revenue. It was easy to go after. We had the lines of business. We had the portfolio. Why not go into this market? It was available to us. And then everything changed after November. You're seeing it right now. We're all feeling it. And it's not just us, by the way. I'm in the tech industry 32 years. I've got CEO friends in all of these tech companies, and they all tell me the same thing. They don't know where their R&D is going to go, how much what's they can expect from federal government spending, what is Elon Musk going to do. And so all of that put so much uncertainty in the equation that what Larry had given us in terms of inorganic optionality allowed me to go to move faster on that. So I just think if you look at the number two or three quarters, we're kind of two or three quarters behind on the inorganic. The KPIs Jeremy has talked about are showing making me feel comfortable that that's about the right time line. And now that we're no longer focused heavily on the sort of transactional stuff as the only source of revenue, we're putting on that incremental SG&A that's been freed up from all the cash we've gotten from the company into the core business and trying to accelerate that. So maybe we can reduce it from two or three quarters to maybe two quarters. We'll keep you updated as the go on.
Mike Latimore: Yes. Okay. Very good. And then on the you said the pipeline of larger deals grew 6%, I think sequentially. What is sort of the average deal size you're looking at now for new logos? And it sounds like it's grown. If it's grown, is it more a seat counter or types of services, number of services?
Jeremy Wubs: I think there's a couple of things. When I gave the some of those metrics before, I was just talking about deals over $10,000. We're seeing an increase in deals over $10,000. So depending on the customer, the partner, the size varies. Like there isn't really a clear kind of average, I would say. It again depends on the partner type of customer. We also saw an overall increase in bookings. Bookings were up about 10% this quarter over the previous quarter. So, not just large deal size, overall bookings are up. And then, as I mentioned, I think earlier, our trucking or infrastructure business, that's our lift as well, up 10% the first half of this year over the first half of fiscal last year. I think the challenge for us is, Charles said, the cycles are long. There's 12 months, couple of quarters behind. We're trying to see what we can do to accelerate that and refocusing this SG&A that kind of would have went on other low margin businesses is kind of the opportunity for us to do that.
Mike Latimore: Yes. Okay. And just last one on the channel itself. What are you seeing in terms of the spiffs and the residuals and so forth? Any notable change there last couple of quarters?
Jeremy Wubs: No, I think it's pretty consistent. Everybody is pretty aggressive in the market doing system incentives. I mean, there's a bit of a necessary evil. Our strategy, however, we got to play in that space. It's part of the industry, but our strategy is to focus on creating more relevant industry vertical solutions. We've got kind of key partners that we're working with. You saw the press release. We talked about CallMyDoc. We talked about some innovation we're doing in the restaurant space. Those are opportunities for us to go and grab share, create more value for our partners, for our end clients and really to help us to move forward on that acceleration of our services growth. So, the sort of traditional market stays the same. The way people are behaving, we'll play in that space. But we've got an alternate strategy that's more about value and creating value for our customers, our partners and building a more sustainable growth strategy.
Mike Latimore: Yes. Makes sense. Okay. Thank you.
Charles Salameh: Thanks, Mike.
Operator: The next question comes from Robert Young with Canaccord Genuity. Please go ahead.
Robert Young: Hi, good evening. Just a question on the shift in the guidance. I wanted to understand the if the difference, I guess, is about $17.5 million at the midpoint. Is that entirely the third party? And then I'm a little confused why the guidance for EBITDA margins isn't moving higher. That strikes me as it would be a meaningful shift in the margin structure and the mix shift. And maybe just help me understand that and bridge to that other statement that 85% services and 20% EBITDA margins is the path. Maybe if we just try to flush out those pieces, so I understand better.
Larry Stock: Yes. So I'll start. The guidance for 25% still includes the revenue from the businesses that we've identified as noncore. As far as not enough where we are in that process, that's included. What we've also said is that the investments we're making in that type of business, we're going to shift that to some of the higher margin kind of business over time. But those cycles take a little bit longer, right? So really, three things went into that revenue guidance, right? We specifically reduced because of the change in the federal government spend. We plan to leverage that GSA license, and we did have a clear line of sight on that. But that changed under the new administration. Second, the decision to accelerate the divestiture of noncore assets and shifting our focus to the higher margin, but that takes a little bit longer. And so we'll see that show up later on. That's the tie in really back to what we said future, 80% plus margin and then seeing increased EBITDA margins over time. So in reality, when you put those all together, that's why the future would look like that and why our guidance for this year is where it is.
Charles Salameh: I get a lot of questions between guidance, Robert, the guidance question. And I get a lot of the analysts ask me all the time, what's the future of Sangoma look like? So we kind of gave you both at the same time. We've adjusted the guidance relative to a shift away from the low margin business into the high margin categories in terms of both investments and our expectations. But I'm also giving you a sense of our accelerated M&A strategy, which we now can do because of our position relative to our financial strength. What does the outlook look like for the company? We're building a company that is a core platform player company that is going to be fundamentally focused on higher margin, long term recurring revenue streams that are consistent. And that core of our business allows we believe allows us to get to a company that's going to be growing at a very consistent rate with recurring revenue streams at 80% plus margin. And so that's after all of the work has been done on some of the acceleration work on the M&A side and certainly the defocusing of our attention and our SG&A dollars on trying to grab low-margin revenue from our resale businesses and our some more legacy noncore platforms.
Robert Young: All right. That's very helpful. And when you say path to 20% EBITDA margins, is that something that you're thinking of aligned with all of those pieces, like something that's near term like within maybe one year? Or is that more of a longer term aspirational?
Charles Salameh: No, it's kind of in line with where we're taking the company and the core business, right? And it considers everything, the noncore activities, the accelerated divestitures, all the talk to you I've been giving you guys about why am I doing all this non sexy work of building proper ERP systems and proper CRM systems that enable automation to occur inside the company, streamline the company, create the efficiencies for scale at a much lower cost point, which then improves our overall EBITDA and gross margin. All of it now, this is I always tell the team, this is the fun part of the job. All the tough part was all the process work and the putting the company together and all the system changes, process changes, skill changes, structure changes. We're now getting to the point where we're ready to now execute on all those faster than we anticipated. And this is the point that we're at now. We thought we were going to need a little bit more time. And as a result, we're going to use our NRR business to sort of prop up our top line revenue and see if we can capitalize that. We decided we don't need to do that anymore. The shareholders will appreciate high margin recurring revenue and on the foundation of a strong, more efficient company, it should start producing much better margins, much better EBITDA, much more efficient company and scale in a high margin recurring revenue business. And that's sort of the shift that's happened between November really after the election and where we are today.
Robert Young: Okay. And then congrats on getting down to that debt range. That's nice to see. I think you said more M&A, continue to pay down debt. Is there any more you can give us around that? Are you already building a pipeline of M&A? Is that something you can move quickly on? Or should we think about debt just dropping down here in the near term?
Charles Salameh: No, I think you're going to see both. I think you're going to see -- you are hopefully witnessing a very fiscally responsible management team here. And debt will continue to be paid down, so we can take advantage of not only our negotiating power with the financial institutions in terms of anything we want to do on the acquisition side, having a lower debt position helps our interest costs. And we're going to as I said in my statement, we are going to accelerate that element of our growth plan that I launched in the first quarter of this year, which is the inorganic component. As to pipeline, we are actively engaged in discussions right now with various different types of companies. We're looking at various options. We have so many options, as I said, in terms of the acquisition side from geographic expansion to adjacent market expansion to buttress type acquisitions to transformative acquisitions because the debt is coming down and will continue to come down while we go through this process of looking for the ideal company that creates shareholder value and fits our core strategy, which we're now crystal clear on. At the same time, the divestiture components of the company will also accelerate, and we're in the process of that. They're underway as well. And how they play out over the course of the next couple of quarters will really be defined by the market and the opportunity that's available to us. But we're not in any major rush to do this. We just now know we are going to begin to execute the second arm of our go to market transformation, which is inorganic growth.
Robert Young: All right. And maybe one last little one. There was a comment from Cisco that they saw their collaboration segment. They saw a jump in orders, double digits orders, they said. They said it was driven by more focus on Return to the Office. And I think they had some AI product tied to their WebEx suite. And I noticed you had an AI release. Are you seeing maybe a little more interest in the market, that same sort of bookings activity? And then I'll pass it back.
Jeremy Wubs: Yes. We've definitely seen some more activity. We have a subscription option for what we call Scribe, which is transcription services. We've seen that pop for sure. We haven't necessarily seen a larger pipeline. We've seen more people take up the feature of some of the AI tools like the transcription. So, like we're seeing a benefit from it, not more orders, say larger average order size is probably the best way to put it. I mean, the mid-market, it tends to be a little more bundled in or optional than what Cisco might be seeing in a large market. But there's definitely opportunity there, and we're capitalizing on it.
Robert Young: All right. Thanks.
Charles Salameh: Thank you.
Operator: This concludes the question-and-answer session and today's conference call. [Operator Closing Remarks].